Operator: Greetings. Welcome to Ameren Corporation’s Second Quarter 2021 Earnings Call. [Operator Instructions] Please note this conference is being recorded. It is now my pleasure to introduce your host, Andrew Kirk, Director of Investor Relations for Ameren Corporation. Thank you, Mr. Kirk. You may begin.
Andrew Kirk: Thank you and good morning. On the call with me today are Warner Baxter, our Chairman, President and Chief Executive Officer and Michael Moehn, our Executive Vice President and Chief Financial Officer as well as other members of the Ameren management team joining us remotely. Warner and Michael will discuss our earnings results and guidance as well as provide a business update. Then we will open the call for questions. Before we begin, let me cover a few administrative details. This call contains time-sensitive data that is accurate-only as of the date of today’s live broadcast and redistribution of this broadcast is prohibited. To assist with our call this morning, we have posted a presentation on the amereninvestors.com homepage that will be referenced by our speakers. As noted on Page 2 of the presentation, comments made during this conference call may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, projections, strategies, targets, estimates, objectives, events, conditions and financial performance. We caution you that various factors could cause actual results to differ materially from those anticipated. For additional information concerning these factors, please read the forward-looking statements section in the news release we issued yesterday and the forward-looking statements and risk factors sections in our filings with the SEC. Lastly, all per share earnings amounts discussed during today’s presentation, including earnings guidance, are presented on a diluted basis, unless otherwise noted. Now, here is Warner, who will start on Page 4 of our presentation.
Warner Baxter: Thanks, Andrew. Good morning, everyone and thank you for joining us. This morning, I will begin with the statement that I have been making for quite some time now. Simply put, our team continues to effectively execute our strategic plan across all of our businesses, which includes making significant investments in our energy infrastructure to enhance the reliability and resiliency of the energy grid as well as transition to a cleaner energy future in a responsible fashion. These investments, coupled with our continued focus on disciplined cost management delivering significant value to our customers, communities and shareholders. Moving now to our second quarter earnings results, yesterday, we announced second quarter 2021 earnings of $0.80 per share. Our earnings were down $0.18 per share from the same time period in 2020, primarily due to a change in the seasonal electric rate design at Ameren Missouri that reduced earnings $0.19 per share. The impact of this change in rate design will reverse in the third quarter of 2021 and is not expected to impact full year results. Michael will discuss the other key drivers of our strong quarter earnings results a bit later. Due to the continued strong execution of our strategy, I am pleased to report that we remain on track to deliver within our 2021 earnings guidance range of $3.65 per share to $3.85 per share. Speaking of the execution of our strategy, let’s move to Page 5, where we reiterate our strategic plan. The first pillar of our strategy stresses investing in and operating our utilities in a manner consistent with existing regulatory frameworks. This has driven our multiyear focus on investing in energy infrastructure with a long-term benefit of our customers. As a result and as you can see on the right side of this page, during the first 6 months of this year, we invested significant capital in each of our business segments, including wind generation at Ameren Missouri, which I will discuss later. These investments are delivering value to our customers. As I said before, our energy grid is stronger, more resilient and more secure, because of the investments we are making in all four business segments. Consistent with the Missouri Smart Energy Plan, we have made significant investments to harden energy grid, which has reduced outages and installed nearly 300,000 electric smart meters for customers. These smart meters will help customers better manage their usage and control their overall energy costs. In Illinois, we continue to execute on our electric distribution and gas modernization action plans. The plans include investments to strengthen electric power poles. We placed gas transmission pipelines and compression coupled steel mains as well as to implement new efficiency measures, including mobile enhanced communications and assessment capabilities for our careers. These improvements, along with our investments in outage detection technology, were resulting in improvements in system reliability and millions of dollars in savings for customers. Moving now to regulatory matters, in late March, Ameren Missouri filed a request for a $299 million increase in annual electric service revenues and a $9 million increase in annual natural gas revenues with the Missouri Public Service Commission. In our Illinois Electric business, we requested a $60 million base rate increase in our required annual electric distribution rate filing. These proceedings are all moving along on schedule. We will be able to provide you information on these proceedings as they develop later this summer and into the fall. Finally, we have remained relentlessly focused on continuous improvement and disciplined cost management, including retaining the cost savings that we realized in 2020 due to the actions we took to mitigate the impacts of COVID-19. Moving to Page 6 and the second pillar of our strategy, enhancing regulatory frameworks and advocating for responsible energy and economic policies. Starting in Missouri, in May, the Missouri legislator passed the bill, allowing for securitization in the state. This constructive legislation which is trying by governance parsing in July give us another important regulatory tool to facilitate our transition to a cleaner energy future and a cost effective manner for our customers. However, as we have stated in the past, a robust integrated resource plan does not rely on securitization to be successful. Our flexible and responsible plan, which includes approximately $8 billion of investments in renewable energy through 2040, the retirement of all of our coal-fired energy centers and extending the life of our carbon-free Callaway nuclear energy center focuses on getting the energy we provide to our customers as clean as we can, as fast as we can without compromising from reliability, customer affordability and the evolution of new clean energy technologies. And as I will touch on later, I am pleased to say that we are already taking steps to implement this important plan for our customers, the State of Missouri and our country. Moving now to Illinois, last month, the Illinois Commerce Commission approved Ameren Illinois electric vehicle charging program. Under this program, we are able to support the development of a network of charging infrastructure in Central and Southern Illinois as well as implement special time-based delivery service rates and other incentives to help encourage the use of electric vehicles. We are excited about this new program, because it will drive greater electrification of the transportation sector as well as help the state of Illinois move towards its clean energy goals. Moving to legislative efforts, as many of you know, we have been working to enhance the regulatory framework for our Illinois Electric business. The performance-based regulatory framework in place today has delivered strong value for customers and shareholders over the years. However, the framework is scheduled to sunset in 2022. As a result, we have been working with key stakeholders to develop constructive long-term regulatory policies that support important investments in energy infrastructure, while enabling us to earn fair returns on those investments. As you know, throughout the regulator legislative session, which ended late May, we advocated for the Downstate Clean Energy Affordability Act which was largely extended the existing framework until 2032, while putting in place provisions that would set the Ameren Illinois electric distribution ROE at the national average. At the same time, many other energy-related legislative proposals from other stakeholders were proposed during the legislative session, including proposals from Governor Pritzker, labor and environmental groups, to address the closure of nuclear plants in the states, Illinois clean energy transition and the electric distribution framework going forward. For months, stakeholders have been in discussion seeking to find an appropriate compromise to all these proposals. While progress is made in these issues, the regular legislative session ended on May 31 with no energy legislation being put before the Senate or House of Representatives for a vote. A special session was called in mid-June to further discuss draft energy legislation, but no bill was filed nor action taken. Needless to say, we will continue to work with key stakeholders to find a constructive solution to this important matter. Turning to Page 7 for an update on FERC regulatory matters, in April, FERC issued a supplemental notice of proposed rulemaking, or NOPR, on electric transmission return on equity incentive adder for participation in the regional transmission organization, or RTO. As you may recall, under the NOPR, the RTO incentive adder would be removed from utilities that have been members of an RTO for 3 years or more, like the Ameren Illinois and ATXI. We have been very clear that we disagreed with FERC proposed recommendation in this matter for a number of reasons and recently filed comments strongly posing the removal of the adder. Of course, we are unable to predict the ultimate outcome or timing of this matter as the FERC is under no timeline to issue a decision. In addition, in June, the FERC issued an order establishing a joint federal state task force and electric transmission. This order establishes a first of its kind task force to respond with state commission’s transmission-related issues including how to plan and pay for transmission facilities, recognizing that federal and state regulators share authority over different aspects of these transmission-related issues. The task force will be comprised of the FERC commissioners and representatives nominated by the National Association of Regulatory Utility Commissioners from 10 state commissions. The first public meeting is expected to be held this fall. Also last month, the FERC issued an advanced notice of proposed rulemaking related to regional transmission planning and cost allocation processes, including critical long-term planning for anticipated future generation needs. We continue to asses the managed rates in the advanced NOPR and expect to file comments with the FERC this fall. Again, we are unable to predict the ultimate timing or outcome of this matter as FERC is under no timeline to issue a decision. Speaking to plan for future transmissions, please turn to Page 8. As I discussed on the call in May, MISO completed a study outlining a potential roadmap of transmission projects through 2039, taking into consideration the rapidly evolving generation mix that includes significant additions of renewable generation based on announced utility integrated resource plans, state mandates and goals for clean imaging or carbon emission reductions, among other things. Under MISO’s Future 1 scenario, which is the scenario that resulted in an approximate 60% carbon-emission reduction below 2005 levels by 2039 MISO estimates approximately $30 billion of future transmission investment in the MISO footprint. Further, MISO’s Future 3 scenario resulted in an 80% reduction in carbon emissions below 2005 levels by 2039. Under this scenario, MISO estimates approximately $100 billion of transmission investment in the MISO footprint will be needed. It is clear that investment in transmission is going to play a critical role in the clean energy transition and we are well-positioned to plan and execute potential projects in the future for the benefit of our customers and country. We continue to work with MISO and other key stakeholders and believe certain projects outlined in Future 1 are likely to be included in this year’s MISO’s transmission planning process, which is currently scheduled to be completed in the fourth quarter of 2021. However, it is possible the process could go into the first quarter of 2022. Moving now to Page 9 for an update on our $1.1 billion wind generation investment related to the acquisition of 700 megawatts of new wind generation at 2 sites in Missouri. Ameren Missouri closed on the acquisition of its first wind energy center, a 400 megawatt project in Northeast Missouri in December. In January, Ameren Missouri acquired a second wind generation project, the 300 megawatt Atchison Renewable Energy Center located in Northwest Missouri. I am pleased to report that as of the end of the second quarter, the Atchison Renewable Energy Center is now in service. With both facilities now operating, it marks a key milestone as we continue to transition our energy portfolio towards a cleaner energy future. Turning now to Page 10 and an update on Missouri’s Callaway energy center. As we have previously discussed, during its return to full power, as part of its 24th refueling and maintenance outage in late December 2020, Callaway experienced a non-nuclear operating issue related to its generator. A thorough investigation of this matter was conducted and a decision was made to rewind the generator stator and rotor in order to safely and sustainably return to energy center to service. I am pleased to report that the generator project was executed very well and that the energy center returned to service on August 4. The completion of this project positions Callaway for a sustainable long-term future. The cost of the capital project was approximately $60 million. As we have said previously, the insurance claims for the capital project and replacement power have been accepted by our insurance carrier, which will mitigate the impacts of this outage for our customers. In addition, we do not expect this matter to have a significant impact on Ameren’s financial results. Turning to Page 11, we remain focused on delivering a sustainable energy future for our customers, communities and our country. This page summarizes our strong sustainability value proposition for environmental, social and governance matters and is consistent with our vision, leading the way to a sustainable energy future. Beginning with environmental stewardship, last September, Ameren announced its transformational plan to achieve net-zero carbon emissions by 2050 across all of our operations in Missouri and Illinois. This plan includes interim carbon-emission reduction targets of 50% and 85% below 2005 levels in 2030 and 2040 respectively and is consistent with the objectives of the Paris agreement and limiting global temperature rise to 1.5 degrees Celsius. We also have a strong long-term commitment to our customers and communities to be socially responsible and economically impactful. Finally, our strong corporate covenants is led by a diverse Board of Directors focused on strong oversight that’s aligned with ESG matters. And our executive compensation practices include performance metrics that are tied to sustainable long-term performance, diversity, equity and inclusion and progress towards a cleaner, sustainable energy future. I encourage you to take some time to read more about our strong sustainability value proposition. You can find all of our ESG-related reports at amereninvestors.com. Turning now to Page 12, looking ahead, we have a strong sustainable growth proposition, which will be driven by a robust pipeline of investment opportunities of over $40 billion over the next decade that will deliver significant value to all our stakeholders in making the energy grid stronger, smarter and cleaner. Importantly, these investment opportunities exclude any new vehemently better special transmission projects, including the potential road map of MISO transmission projects I discussed earlier, all of which would increase the reliability and resiliency of the energy grid as well as enable our country’s transition to a cleaner energy future. In addition, we expect to see greater focus from a policy perspective and infrastructure investments to support the electrification of the transportation sector. Our outlook through 2030 does not include significant event structure investments for electrification at this time. Of course, our investment opportunities will not only create stronger and cleaner energy grid to meet our customers’ needs and exceed their expectations, but they would also create thousands of jobs for our local economies. Maintaining constructive energy policies that support robust investment in energy infrastructure and a transition to a cleaner energy future and is safe, reliable and affordable fashion will be critical to meeting our country’s future energy needs and delivering on our customers’ expectations. Moving to Page 13, to sum up our value proposition, we remain firmly convinced that the execution of our strategy in 2021 and beyond will deliver superior value to our customers, shareholders and the environment. In February, we issued our 5-year growth outlook, which included a 6% to 8% compound annual earnings growth rate from 2021 to 2025. This earnings growth is primarily driven by strong rate base growth and compares very favorably with our regulated utility peers. Importantly, our 5-year earnings and rate base growth projections do not include 1,200 megawatts of incremental renewable investment opportunities outlined in Ameren Missouri’s and greater resource plan. Our team continues to assess several renewable generation proposals from developers. We expect to file this year with the Missouri PSC for certificates of convenience and necessity for a portion of these planned renewable investments. I am confident in our ability to execute our investment plans and strategies across all four of our business segments, which we have an experienced and dedicated team to get it done. That fact, coupled with our sustained past execution and our strategy on many fronts has positioned us well for future success. Further, our shares continue to offer the investors a solid dividend, which we expect to grow in line with our long-term earnings per share growth guidance. Simply put, we believe our strong earnings and dividend growth outlook results in a very attractive total return opportunity for shareholders. Again, thank you all for joining us today. I will now turn to Michael.
Michael Moehn: Thanks, Warner and good morning everyone. Turning now to Page 15 of our presentation, yesterday, we reported second quarter 2021 earnings of $0.80 per share compared to $0.98 per share for the year-ago quarter. Earnings in Ameren Missouri, our largest segment, decreased $0.18 per share, driven primarily by a change in seasonal electric rate design, resulting from the March 2020 rate order, which provided for winter rates in May and summer rates in September rather than the blended rates used in both months in 2020. The rate design change decrease earnings $0.19 per share and is not expected to impact full year results. Earnings were also impacted by the timing of income tax expense, which decreased earnings $0.03 per share and is not expected to impact full year results. As Warner mentioned, during the quarter, we remain relentlessly focused on continuous improvement and discipline cost management and have been able to largely maintained the level of operations and maintenance savings this quarter that we experienced during the year-ago period, which was significantly affected COVID-19. The increase in other operations and maintenance expenses, which decreased earnings $0.02 per share, was primarily due to more favorable market returns on the cash surrender value of company-owned life insurance in the year-ago period. As you can see, we have worked hard this year to control costs where we can. The amortization of deferred expenses related to the fall 2020 Callaway Energy Center scheduled refueling and maintenance outage and higher interest expense primarily due to higher long-term debt balances outstanding also decreased earnings $0.02 per share. These factors were partially offset by an increase in earnings of $0.05 per share due to increased investments in infrastructure and wind generation, eligible for plant and service accounting and the Renewable Energy Standard Rate Adjustment Mechanism, or RESRAM. Higher electric retail sales also increased earnings by approximately $0.04 per share, largely due to continued economic recovery in this year’s second quarter compared to the unfavorable impacts of COVID-19 in the year-ago period. We’ve included on this page the year-over-year weather-normalized sales variances for the quarter. Overall weather-normalized sales are largely consistent with our expectations outlined in our call in February as we still expect total sales to be up approximately 2% in 2021 compared to 2020. Moving to other segments, Ameren Transmission earnings declined $0.03 per share over year, which reflected the absence of the prior year benefit from the May 2020 FERC order addressing the allowed base return on equity, which more than offset earnings on increased infrastructure investment. Earnings for Ameren oil natural gas decreased $0.01 per share. Increased delivery service rates that became effective in late January 2021 were offset by a change in rate design, which is not expected to impact full year results. Ameren Illinois electric distribution earnings increased $0.02 per share, which reflected increased infrastructure investments and a higher allowed ROE under performance-based rate making. Ameren parent and other results were also up $0.02 per share compared to the second quarter of 2020 primarily due to the timing of income tax expense, which is not expected to impact full year results. And finally, 2021 earnings per share reflected higher weighted average shares outstanding. Before moving on, I will touch on year-to-date sales trends for Illinois Electric distribution. Weather normalized kilowatt hour sales to Illinois residential customers decreased 1%. And weather normalized kilowatt hour sales to Illinois commercial and industrial customers increased 2.5% and 2% respectively. Recall that changes in electric sales in Illinois, no matter the cause, do not affect our earnings since we have full revenue decoupling. Turning to Page 16, now I’d like to briefly touch on key drivers impacting our 2021 earnings guidance. We’re off to a strong first half in 2021. And as Warner stated, we continue to expect 2021 diluted earnings to be in the range of $3.65 to $3.85 per share. Select earnings considerations for the balance of the year are listed on this page and are supplemental to the key drivers and assumptions discussed on our earnings call in February. I will note that our third quarter earnings comparison will be positively impacted by approximately $0.19 per share due to the seasonal electric rate design change effective in 2021 at Ameren Missouri that we discussed earlier. Moving now to Page 17 for an update on our regulatory matters. Starting with Ameren Missouri, as you recall, on March 31, we filed for a $299 million electric revenue increase with the Missouri Public Service Commission. The request includes a 9.9% return on equity, a 51.9% equity ratio and a September 30, 2021 estimated rate base of $10 billion. [indiscernible] will be filed in early September with the bottle testing by October 15. Evidence hearings are scheduled to begin in late November. In addition, on March 31, we filed for a $9 million natural gas revenue increase with the Missouri PSC. The request includes a 9.8% return on equity, a 51.9% equity ratio and a September 30, 2021, estimated rate base of $310 million. A Missouri PSC decision in both rate reviews is expected by early February, with new rates expected to be effective by late February. Moving down renewal – Illinois regulatory matters, in April, we made our required annual electric distribution rate update filing. Under Illinois performance-based ratemaking, these annual rate updates systematically adjust cash flows over time for changes in cost of service and true up any prior period over or under recovery of such costs. In late June, the ICC staff recommended a $54 million base rate increase compared to our request of a $60 million base rate increase. An ICC decision is expected in December with new rates expected to be effective in January 2022. Moving to Page 18. In early June, Ameren published a sustainability financing framework, becoming one of the first utilities in the nation to do so. Under this framework, Ameren and its issuing subsidiaries may elect to finance or refinance new and existing projects that have an environmental or social benefit through green bonds, social bonds, sustainability bonds, green loans or other financial instruments. Given the amount of investment activity at Ameren and the utility subsidiaries are pursuing, that have environmental or social benefits, we expect to be a relatively frequent issuer under our sustainability financing framework. In June, both Ameren Missouri and Ameren Illinois issued green bonds consistent with this new financing framework. More information about this framework is available at amereninvestors.com. Turning to Page 19 for a financing and liquidity update, we continue to feel very good about our liquidity and financial position. As I just mentioned in June, Ameren Missouri and Ameren Illinois issued green bonds with the net proceeds to be allocated to sustainable projects, meeting certain eligibility requirements under the sustainability financing framework. Additional debt issuances are outlined on this page. Further, earlier this year, we physically settled the remaining shares under our forward equity sale agree for proceeds of approximately $115 million. In order for us to maintain our credit ratings and a strong balance sheet while we found our robust infrastructure plan, we expected to issue a total of approximately $150 million of common equity in 2021 under the at-the-market or ATM program established in May. This is consistent with prior guidance provided in February and May. And to date, approximately $122 million of equity has been issued through this program. Our $750 million ATM equity program is expected to support our equity needs through 2023. Finally, Ameren’s available liquidity as of July 30 was approximately $1.8 billion. Lastly, turning to Page 20, we are well positioned to continue to execute on our plan. We continue to expect to deliver strong earnings growth in 2021 as we successfully execute our strategy. And as we look to the longer term, we expect strong earnings per share growth driven by a robust rate base growth and disciplined cost management. Further, we believe this growth will compare favorably with the growth of our regulated peers. Ameren shares continue to offer investors an attractive dividend. In total, we have a strong total shareholder return story that compares very favorably to our peers. That concludes our prepared remarks. We now invite your questions.
Operator: [Operator Instructions] Our first question is from Jeremy Tonet with JPMorgan. Please proceed with your question.
Jeremy Tonet: Good morning.
Warner Baxter: Good morning. How are you doing, sir?
Jeremy Tonet: Good. Good. Thank you. Just want to see how you think about the Missouri securitization legislation as a tool for transitioning the fleet. Just wondering if you – any thoughts you have there? Are there any particular reasons that could be more or less attractive for you to use versus kind of other considerations we should be thinking about?
Warner Baxter: Excuse me. Thanks, Jeremy. Yes, look, as we’ve said before, we’ve said securitization is a great regulatory tool and one that we don’t see is necessary to execute our integrated resource plan, but certainly a great regulatory tool. So in the big picture, as we go down the path, if we see changes in policies, change in economic conditions or really the overall economics for renewables, perhaps we will look at securitization as a tool to use. But right now, we are very comfortable and like our integrated resource plan and complement Marty Lyons and his team really did a nice job working with stakeholders to get that across the finish line. And so Marty, why don’t you come on in and see if you have any additional comments on the securitization tool that we have available to us.
Marty Lyons: Yes, Warner. Well, you described it very well. And Jeremy, thanks for the question. We outlined on Slide 25, our transition over time. It’s the integrated resource plan that we filed last fall. And as Warner mentioned, that plan and the execution of that plan were not dependent upon utilization of securitization. Really, what you see there is our plan as it stands today as to use our low-cost, reliable coal fleet as a foundation to bring in more renewables over time and provide reliable power to our customers. But as Warner said, to the extent situations change and require adjustments to this plan, it could be that securitization would be a very good tool to have in our toolbox to perhaps make this transition more swiftly and do it in a way that provides affordable rates to our customers. So, I think a really good tool to have in the toolbox, but again, not needed today as we look at this integrated resource plan.
Jeremy Tonet: Great. That’s really helpful color there. Maybe just kind of shifting gears here. Have you seen any developments in MISO as work progresses towards year-end project updates there? Just wondering if you might be able to expand a bit more, I guess, your thoughts there and what that could mean for Ameren?
Warner Baxter: Sure. Thanks, Jeremy. And look, as we discussed really on our last quarter call and as we talked about in our prepared remarks. We really see transmission investment as being critical for our country’s transition to a clean energy future. And certainly, MISO being right in the middle of the country is going to play an integral role. And obviously, we have a big footprint in MISO. And so as we have looked at it, MISO has really done a fine job from our perspective. And we are really looking out to see what some of those long-range transmission projects might be. No, they are not definitive yet, but they laid out a real nice plan for us to really think about and work with key stakeholders. And that’s exactly what we have been doing working without the key stakeholders and say, okay, what are these projects that we need to move forward with. I would say MISO is still in the middle of that process with us and so many others. And as you know, they will take that long-range plan that we outlined in our slides. And they are going to put that and include aspects of that thinking in MISO’s transmission expansion plan, which is a process that we will, hopefully, see moving forward by the end of this year. So, beyond that, I would say the conversations and analysis continues. The only thing I will say is that we believe we are well positioned to execute many of those projects. And we believe if you look at that Future 1, that some of those projects are going to likely be in this intent that comes out here at the end of this year or perhaps some maybe into early next year, because those are some no regrets projects that are in there that we need to move forward on, not just in the Midwest but for our country. So, we can move forward on this clean energy transition. So, nothing specific yet, but needless to say, there is a lot of work going around with the teams to try and move forward on this important aspect of the clean energy transition. So, stay tuned, more to come.
Jeremy Tonet: Got it. That’s very helpful. Thanks for that. I will leave it there.
Warner Baxter: Thanks. Thanks, Jeremy. Have a good weekend.
Jeremy Tonet: You too.
Operator: And our next question is from Paul Patterson with Glenrock Associates. Please proceed with your question.
Warner Baxter: How are you? Good morning Paul.
Paul Patterson: Good morning. How are you?
Warner Baxter: Well, good here.
Paul Patterson: Good to hear. So, just to sort of follow-up on Jeremy’s question there on the MTAP process and the transmission opportunities, which sound pretty exciting. One of the questions, I guess, that sort of comes up here is as you are aware, that in Missouri, there is this clean energy line. I forgot the exact name, but you are familiar with it. It’s the one that’s been held up by challenges to it. It seems like forever. It’s not your line. It’s more like a merchant line. But in general, how should we think about once MISO is sort of identified, etcetera, the – bringing those – assuming that you guys get a good line of sight on opportunities for yourselves, how should we think about siding or permitting, etcetera, with respect to some of these projects in the context of that example that I have mentioned versus some of the add-ons and stuff that don’t seem to have as much in the way of hurdles, do you follow what I am saying?
Warner Baxter: Paul, a bit complicated. So, let me tell you, its Grain Belt is the name of the line that you are referring to.
Paul Patterson: Sorry. That slipped my mind.
Warner Baxter: Yes. And so I will make a couple of comments. And then Marty, you can talk about how the Grain Belt project has been incorporated, in some respects, at least commented upon in our integrated resource plan. But just big picture, whether it’s the Grain Belt or any transmission, obviously, permitting and siding is an important aspect of transmission. I think this is why you are seeing FERC and others, state commissions and others and legislators, take a very careful look at this because we have recognized that that’s an important aspect of getting any of these major transmission projects done. And some significant transmission projects are going to have to be done to – for us to affect the clean energy transition. And so one of the things I will tell you, we work very hard as a company at this, and that is being very thoughtful and reaching out with stakeholders in the communities early and often to talk about the needs for the transmission line, but also how we can work with those stakeholders in those communities, so we can get the permitting and signing done in a timely fashion. Shawn Schukar and his team have done that for years and years now. And this is why you have seen the success that we had in the last multi-valued projects that MISO did almost a decade ago. Now those projects were so successful is because a lot of work was done on the front end, so we could execute on the back end. As we look forward to any future transmission project, that’s exactly what we will continue to do. Now Grain Belt, obviously, as you rightfully said, that is not our project. But certainly it’s something that has received a lot of attention in Missouri and otherwise. And so Marty, I want you to comment a little bit about some of the things that we have been looking at in terms of Grain Belt as part of our integrated resource planning process.
Marty Lyons: Yes, sure, Warner, and I am happy to comment. So, I mentioned our integrated resource plan we filed last fall. And again, back on that Slide 25, where we depict our plan, that’s really our preferred plan out from the Integrated Resource Plan as we move forward. But as we develop that plan, we looked at a number of scenarios in terms of the path forward to get to what we believe to be the most reliable and affordable path forward. And in these scenarios, certainly, we evaluated utilization of Grain Belt as well as many other kinds of scenarios. And where we stand right now in terms of our integrated resource plan, as you all know, we did put out a request for proposals last year on various resources that might be available to fulfill our needs. Obviously, our ambition is to acquire, 1,200 megawatts of renewables, wind, solar, through 2025. And we do still expect to file later this year with the PSC for certificates of convenience and necessity for a portion of those planned projects. But as we go through broadly, looking at just the next 5 years, but even beyond, certainly, we will continue to consider all options, including utilization of Grain Belt as we think about fulfilling those needs. In terms of your question, Paul, I think you were asking about large-scale transmission, smaller-scale transmission. As we go about looking at the various resources that might fulfill our needs, certainly, we work closely with Shawn and his team and think very much about the transmission investments that will be required to facilitate investment in any of those projects, whether wind or solar. And it’s an important part of our consideration as we think about the resources that will be most affordable for our customers.
Paul Patterson: Okay. Great. And then just finally on Illinois, I mean you mentioned in your remarks, and I am just sort of – do you have any sense as to whether or not something happens in the next, I guess, couple of months here or I mean you guys are obviously a lot closer to it than I am. I am just sort of wondering if you had any odds on something in Illinois what those odds might be for something getting done.
Warner Baxter: Sure. Thanks, Paul. I have learned long ago not to make predictions about legislation. And especially in this particular case, it’s a complex piece of legislation. The only thing I can say is what I have said before and I will say again, Richard, Mark and his team, they have been working tirelessly for many months now with key stakeholders to try and forge a path forward. That is a constructive solution that’s going to enable us to make the investments we need to make in the energy grid and earn fair returns in the State of Illinois. And in so doing enhance reliability, create jobs and help really the State of Illinois and our country move towards a clean energy future. So, all of those things are all true. They remain true today, and we continue to be at the table with key stakeholders. But now I am not going to make any prediction in terms of time, weather or any timing, but rest assured, we are working hard at it, and we are at the table with the key stakeholders to try and get the constructive solution done.
Paul Patterson: Okay, great. Thanks a lot.
Operator: [Operator Instructions] Our next question is from Julien Dumoulin-Smith from Bank of America. Please proceed with your question.
Warner Baxter: Good morning Julien.
Julien Dumoulin-Smith: Hi. Good morning team. Thank you for this time and the opportunity. I appreciate it.
Warner Baxter: Absolutely.
Julien Dumoulin-Smith: So perhaps just let’s kick it off with our favorite subject here. And I want to hear your thoughts and perspectives around this June task force, right? You mentioned FERC and joining forces here. That seems like a fairly potent combination to drive real change, right? So I would be curious, what do you – what is the focus here? And specifically, what key issues are you asking them to address, right? When it comes to utilities, not HVDC lines with their own challenges and prospects, but from your perspective, tangibly, how can they step in and help you all?
Warner Baxter: You bet. Thanks, Julien. Look, we are encouraged that the Federal regulators and State regulators are not only talking, but they are trying to find a path forward. Because as I have said now several times on this call, the transmission is going to be a critical component of getting these major transmission projects done for our country. And so as we all know, the Federal regulators, FERC and the State regulators, their jurisdictions or lose the issues can sometimes overlap. And so things that are really important all the time is how we can sort through permitting and sighting. And clearly, another issue around transmission projects, especially these regional projects, which we are talking about in large part with these MISO projects, how you allocate the costs fairly and appropriately. And so what I think, Julian, what will happen with some of these conversations and what we hope to have happened is that there is a better understanding of the issues, perhaps a bit of a meeting of the minds, and so we can start moving forward in a more timely fashion than we might have otherwise had. And of course, when we are making the types of investments that we are making that we want to have, let’s say, greater levels of regulatory certainty. And so these things, I think, will be helpful. I am not suggesting that this task force will solve it all. But I think what it will do will provide a great forum for stakeholders, not just regulators, companies like ours and others to come to the table and say, “Okay, here are things that really matter, and here is how we can lean further forward in the transmission space,” which we, needless to say, strongly support the need to lean forward, further, faster in the transmission space.
Julien Dumoulin-Smith: Got it. Alright. Fair enough. And then if I can, I mean, let’s move it back to your own portfolio there. How are you thinking about transmission interconnect delays, costs, etcetera, just as you think about your own efforts? And then what are you observing regionally? Again, clearly, the need for transmission is principally evidenced by the elevated cost of interconnection costs and that translating to a relatively stagnant trajectory of processing this queue. Are you seeing issues with your own projects? And then more broadly, are you seeing these elevated costs with other developers in and around insurance sectors? If you can elaborate on it.
Warner Baxter: Yes, lots to unpack in there, and so let me make a few comments. So number one, Marty a moment ago was talking about how we proceed to the integrated resource planning process. And he also said, a key element of the projects that we look at and select really look very hard at transmission, interconnections, where developers may be in the queue, to try and move things forward. And that’s frankly how we were successful in moving in a very thoughtful and timely fashion with our 700 megawatts of wind generation. So, what we are seeing there, this is all part of our due diligence. Are you seeing sort of a backup, yes. Are you seeing now that organizations like MISO are looking beyond just today, looking to the future with this long-term resource planning effort, the answer to that is yes, and that’s why we support it. It will, we believe, help alleviate, in the future, if you look sort of a decade out, which is really when you think about transmission projects, look just for tomorrow, you look, say, a decade out, what are the things that we need to be doing today to position ourselves for success in the future. So, we are encouraged by that. Are we seeing the increases in prices or challenges, well, it’s premature to say that. We are still going through the process, still talking to developers, working with MISO and others. But the only thing I do know is that we have, I would say, unique expertise to provide the analysis, but also unique expertise to execute these important transmission projects, not just for our projects, but frankly, the projects that I will have regional and frankly, countrywide, positive implications to move forward to clean energy transition. So, I don’t know if, Julien, that answered your specific question. This is certainly an important aspect of what we are seeing, but this is not new to us. And I will finish with this, too. The other encouraging thing that we are seeing is that, in particular, in this instance, MISO is working with the other regional transmission organizations, in this particular instance, SPP, to try and coordinate even better some of these transmission projects and needs. So, you don’t have surprises, right, when it comes time to try and move forward with a particular renewal energy project. That, too, is encouraging. And we look forward to the results of that collaborative effort from those two organizations. And I am sure PJM and MISO will be having similar conversations sometime done ago.
Julien Dumoulin-Smith: Alright. Excellent. Sorry to squeeze in one more. But just obviously, you have identified there are certain renewable opportunities that are excluded from your 5-year outlook. And I know to certainly say that 5-year outlook is also going to be rolled forward here in the next few – in six months. Can you talk about the next data points that we should be watching in terms of more formally, including some of those projects into your plan just time line to have from that?
Warner Baxter: You bet. You stated it correctly, Julien, that none of these large regional projects that we outlined in our slides are reflected not only in our 5-year plan, but as you know, we look out 10 years, that $40 billion, we say $40 billion plus, while that big plus to that item is the potential for these large regional transmission projects. So, we are excited about that opportunity to be able to execute some of those. So, what’s the next thing to look at, look, I think that the MTAP, the MISO transmission expansion planning process, that will be really sort of your next visible sign. You will probably see – there may be some information out there towards the end of the third quarter into the fourth quarter. But the process itself, which ultimately goes before the Board of Directors of MISO, will be really in the fourth quarter at the earliest, as I said in my prepared remarks. That could go into the first quarter of next year. But that would be probably, I would say, part of the next data point, if you will, but not – but to be clear, as I said before, a lot of work is going on today to try and make sure that, that is gone as smoothly as possible. But that’s what I would be looking for a little bit later. Michael, you have a point there.
Michael Moehn: Yes, Julien, I think the only other thing with respect to the renewable projects, the data point there, I think Warner maybe even said this in his opening remarks, is it really that regulatory process. So, look for those CCN filings in the back half of this year, that’s really going to get those kick start from the approval standpoint. That’s, again, those are really speaking to the RFP process itself. Warner was really talking about the transmission.
Warner Baxter: Yes. Well said. Thank you, Michael. That’s exactly right. We said we expect to be filing for sub-CCH still here by the end of this year. So, that would be another important data point to be looking for incremental capital expenditure opportunities.
Julien Dumoulin-Smith: Got it. We will watch to look at. Excellent. Thank you all very much.
Warner Baxter: Thanks Julien. Have a good weekend.
Operator: And we have reached the end of the question-and-answer session. And I’ll now turn the call over to Andrew Kirk for closing remarks.
Andrew Kirk: Thank you for participating in this call. A replay of this call will be available for 1 year on our website. If you have questions, you may call the contacts listed on our earnings release. Financial analyst inquiries should be directed to me, Andrew Kirk. Media should call Tony Paraino. Again, thank you for your interest in Ameren, and have a great day.
Operator: This concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation.